Operator: At this time, I would like to welcome everyone to the IFF First Quarter 2022 Earnings Conference Call. All participants will be in a listen-only mode until the formal question-and-answer portion of the call.  Participants will be announced by their name and Company. In order to give all participants an opportunity to ask their questions, we request a limit of one question per person. I would now like to introduce Michael DeVeau, Head of Investor Relations. You may begin.
Michael DeVeau: Thank you. Good morning, good afternoon and good evening, everyone. Welcome to IFF's first quarter 2022 conference call. Yesterday evening, we distributed a press release announcing our financial results. A copy of the release can be found on our IR website at ir.iff.com. Please note that this call is being recorded live and will be available for replay. Please take a moment to review our forward-looking statements. During the call, we'll be making forward-looking statements about the Company's performance particularly with regard to our outlook for the second quarter and full-year 2022. These statements are based on how we see things today and contain elements of uncertainty. For additional information concerning the factors that can cause actual results to differ materially from forward-looking statements, please refer to our cautionary statement and risk factors contained in our 10-K filed on February 28, 2022 and in our press release, all of which are on our website. Today's presentation will include non-GAAP financial measures which exclude those items that we believe affect comparability. A reconciliation of these non-GAAP financial measures to their respective GAAP measures is set forth in our press release that we issued yesterday. Please note that we will be using comparable results for the first quarter defined as three months of legacy IFF results, January through March and three months of legacy N&B results in both the 2021 and 2022 periods, these results also exclude the impact of divestitures and acquisitions. With me on the call today is our CEO, Frank Clyburn and our Executive Vice President and CFO, Glenn Richter. We will begin with prepared remarks and then take any questions that you may have. With that, I would now like to introduce Frank.
Frank Clyburn: Thank you, Mike, and hello, everyone. Thank you for joining us today. I am pleased to be speaking with you all and excited to share perspectives from my first 90 days as CEO of IFF. During today's call, I will discuss my initial thoughts since joining IFF and highlight our key operating priorities and commitments as a company for the full-year 2022. As I've spent the last 90 days meeting with IFF colleagues and key customers around the world, asking questions, listening and evaluating our business, it has become even more clear to me that IFF has built a very strong foundation with incredible opportunities ahead. Our business has built the robust diversified portfolio and driven team needed to continue leading our industry while delivering sustainable profitable growth. Simply put, I am thrilled to lead and work along such a passion team of more than 24,000 employees with a shared commitment to strengthening customer partnerships and driving differentiated innovations. Together, we will focus every day on the operational rigor and executional excellence required to deliver even greater value for our customers and shareholders. Before moving forward, I first must acknowledge the humanitarian tragedy facing the Ukrainian people since Russia's invasion began. As we have previously stated, IFF unequivocally stands with the people of Ukraine. Our top priority remains the safety of our team members and their families in Ukraine. And like many other global companies, we are working closely with local governments to offer assistance where possible. Aligned with our core values several weeks to ago, we limited production and supply of ingredients in into Russia to only those that meet the essential needs of people, including food, hygiene and medicine. Our plan at this time is to continue to supply to the best of our ability in accordance with sanctions, logistics availability and other key factors. Now I would like to begin by sharing some initial learnings and insights from my first 90 days with IFF. I will then turn the call over to Glenn, who will provide a detailed look at our first quarter 2022 financial results before providing commentary on our current outlook for the full-year 2022. After that, we will open the call for Q&A. Starting on Slide 6, I'd like to reflect on what I've seen and heard from our global colleagues, customers, investors, suppliers, and members of our Board. As I noted in my introduction, IFF is incredibly well positioned from a portfolio perspective with an exceptional depth and breadth of product offerings and an unrivaled R&D platform that uniquely positions IFF to win with our customers. Our business is poised to benefit from sustained long-term tailwinds for profitable growth as we have demonstrated leadership in the most in demand consumer categories. We are the largest player in our industry with unmatched global scale, a strong innovation pipeline and a highly diverse and balanced business mix across categories, regions and customers to create significant value. Collectively, these are attractive characteristics and a strong foundation to build upon moving forward. Equally important, however, are the clear opportunities to improve our operating practices and ensure that we are achieving our financial commitments. This is one of my top priorities going forward, as I believe that consistent and consecutive delivery of course, within our control is critical to build trust and credibility as IFF’s CEO. Specifically, we are working to cultivate a culture across our entire platform that motivates our teams and ensures accountability across the business. We are continuing to enhance our operational execution with a renewed focus on instilling greater rigor and excellence, aligning our compensation metrics to keep to KPIs that are measurable and strongly correlated to value creation. Please note that we are committed to investing in capacity, digital, R&D and commercial to capture incremental growth and productivity opportunities to ensure we deliver long-term sustainable profitable growth. With all our initiatives, we are closely focused on consistently delivering on our short and long-term financial commitments and creating enhanced value for all stakeholders. Moving to Slide 7, I'd like to provide a bit more detail on the process underpinning our efforts to accelerate value creation across IFF. Our success starts with enhancing our corporate culture to ensure that IFF efforts worldwide are aligned with our vision of strategic excellence. It starts with establishing a renewed focus on winning while outlining the benefits for our team around the world. To guide our efforts, we are developing a deeper understanding of the sources and drivers of value across the business to help prioritize our investment of energy and resources moving forward. By understanding the facts, our extended leadership team will have the ability to make better business decisions, including investment allocations, which we expect will lead to greater financial returns. With that understanding, we will have better visibility into our strategic roadmap, essentially setting our profitable growth agenda for both the near and long-term as we dedicate strategic investments from the highest value opportunities. Underpinning everything we do will be a commitment to operational rigor and a culture of executional excellence across our platform. Our results in the first quarter are beginning to reflect this commitment to operating discipline, which will remain a top priority for our leadership team going forward. We plan on going into more depth on our strategy and financial outlook moving forward at an Investor event that we are planning on having in the second half of 2022. More details to come on that in due course. Turning now to Slide 8, I would like to start with a foundational look at our portfolio. Since my joining IFF in early February, our executive management team have begun a whole diagnostic of our strategies and business model to ensure we were operating to the best of our ability. As part of this process, we have thoroughly examined our business relative to the drivers of our current and future levels of profitability. To ensure we capture the full cost of doing business, we have gone beyond traditional operating costs to account for invested capital, such as CapEx, inventory and fixed assets. Through this return on invested capital loans, we have incorporated all costs to create a more robust fact base across our entire business portfolio to make better resource decisions. Based on the preliminary assessment, here's a snapshot of our sub businesses. As you can see, we have a significant amount of high return businesses, but also like most businesses, we identified opportunities where we can improve our performance. In high performing areas of the portfolio, we will reinvest with conviction to fuel strong profitable growth. We will also explore all avenues to more efficiently manage resources in our medium return business with a goal of maximizing our performance. And in areas of our portfolio where returns are not meeting our expectations for a below best-in-class benchmarks, we intend to either optimize our capital decisions to improve returns or evaluate appropriate opportunities to de-prioritize or exit the business. As we move forward, we are fully committed to maximizing our portfolio to deliver the most attractive returns in value creation opportunities. In fact, for 2022, we have adjusted our long-term incentive plan, replacing our net debt ratio with return on invested capital as a performance metrics to increase focus on capital efficiency. Now, before I dive into our first quarter results, I want to reemphasize that I am committed to the four key operating priorities we outlined earlier this year. Building upon the strong sales momentum, we established in 2021, we are first aiming to maintain volume growth consistent with overall industry growth rates. To achieve this, we are making significant investments to increase capacity, improving supply chain bottlenecks and driving greater revenue synergy opportunities. On revenue synergy, specifically, it is all about expanded revenue growth opportunities, and we feel good about the longer term prospects and the power of the portfolio. To highlight an example, we recently were awarded access in vanilla, a large opportunity with the global customer by leveraging heritage N&B's global technical know-how in ice cream, in heritage IFF's Vanilla sustainability program. IFF offered a combination of technical expertise and sustainability that competitors do not have. The result was not only strong potential revenue and flavors, but also incremental value creation for total IFF, including protein, emulsifiers and LBG. I am pleased to see in my early days the traction we are making and excited to dig in with the business to unlock more growth opportunities ahead. Turning to Slide 10, I'd like to provide an overview of our solid performance for the first quarter. Despite the macroeconomic challenges of today's environment, we achieved good sales profit and growth across our business. In the first quarter, IFF delivered $3.2 billion in sales, representing 31% growth or 13% growth on a comparable currency neutral basis. While inflation in global supply chain restrictions continue to impact our profitability margin, we achieved 9% growth in our comparable currency neutral EBITDA. We also achieved strong adjusted earnings per share, excluding amortization of $1.69 for the first quarter. As I mentioned, we are evaluating and implementing specific initiatives to ensure we continue to navigate the future headwinds during the remainder of 2022 and beyond. As a result of increased working capital requirements, higher CapEx and seasonality, our free cash flow results were negatively impacted in the first quarter. Looking ahead, I can assure you this will be a significant focus area for the remainder of the year, and we expect strong improvements in the back half of the year. In terms of deleveraging the balance sheet, we remain on plan as our net debt to credit adjusted EBITDA ratio was 4.2x. We also delivered meaningful synergies and productivity gains for more than $30 million in the quarter, including operational efficiencies and deal-related synergies. As mentioned, we continue to prioritize portfolio optimization and are making strong progress on the divestiture of the microbial control business. It should be noted that the anticipated closing of our microbial control business is now expected to happen on July 1 versus June 1, previously to provide more time to complete the separation work streams and minimize disruptions and risk to the microbial control business upon close. With that, I'd like to turn the call over to Glenn to provide a closer look into our first quarter financials.
Glenn Richter: Thank you, Frank. Good morning, and good afternoon to everyone. Let's start on Slide 11 with sales performance of each of IFF's core businesses. Together, Nourish, Health & Biosciences, Scent and Pharma Solutions achieved $3.2 billion in sales revenue in Q1, representing comparable currency neutral sales growth of 13%. Of note, all our sub-businesses posted year-over-year comparable currency neutral growth in the first quarter. Nourish delivered the most substantial growth with significant broad-based strengths in our flavors, ingredients and food design businesses. Health & Biosciences similarly achieved strong sales growth having managed headwinds in the Health business. The Scent division carried a strong momentum from last year through the first quarter with strong results in fine fragrance, consumer fragrance and ingredients. Lastly, Pharma Solutions also achieved currency neutral sales growth driven by the division's continued strength in its industrial business and resume demand for pharma. In terms of sales growth contribution, pricing increased approximately 8% and volume grew approximately 5%. Turning to Slide 12, let's walk through our profitability in the quarter. First quarter adjusted operating EBITDA totaled $702 million, representing 9% comparable currency neutral adjusted operating EBITDA growth versus the first quarter of 2021. Our adjusted EBITDA margin in the first quarter was 21.8% and on an inflation adjusted basis, would have been approximately 175 basis points higher or approximately 23.5%. Margin did come in better than we expected in the first quarter through the stronger than anticipated volume growth, better cost management as well as the fact that a significant amount of our higher inflationary cost remains in inventories and did not impact the P&L to the degree originally anticipated. However, this is largely timing-related and will change as we progress throughout the year. Including our results is a charge of approximately $20 million related to expected credit loss on receivables from customers located in Russia and Ukraine. While the macroeconomic environment remains incredibly dynamic with continuing inflationary pressures at the moment, we are pleased with the actions taken by our teams to manage through these challenges. We took a very proactive approach and quickly instituted broad-based pricing actions across our portfolio in response to these pressures. Consequently, the actions we have taken have resulted in a full dollar cost recovery of total inflation costs in the first quarter. Unfortunately, since our February earnings call, we have seen additional increases in raw material, logistics and energy costs and are diligently working with our customers on incremental pricing actions. One important note to call out is that we are seeing the strong cost increases flowing to inventory, which due to our inventory days means that the higher cost will eventually impact the P&L as we progress through the balance of the year. Now on Slide 13, I would like to highlight the underlying dynamics and first quarter performance of each of our business segments. In the first quarter, Nourish's strong comparable currency neutral sales growth of 16% was led by double-digit growth in food designs and ingredients. The segment's comparable currency neutral adjusted operating EBITDA growth was also strong at 14%, primarily driven by the division's pricing actions, volume growth and productivity gains. In Health & Biosciences, double-digit growth in health, microbial control and grain processing and high single-digit growth in animal nutrition and cultures in food enzymes show comparable currency neutral sales growth of 10% for the first quarter. Similar to Nourish, the segment's comparable currency neutral adjusted operating EBITDA growth of 8% was led by pricing, volume growth and productivity that helped offset mixed challenges. In Scent, fine fragrance continued the strong rebound with double-digit growth and cosmetic active and fragrance ingredients continue to perform above expectations. As for consumer fragrance, the business experienced modest growth in the first quarter. Overall percent on 6% comparable currency neutral sales growth, comparable currency neutral adjusted operating EBITDA declined 2% as inflationary pressures outpaced pricing for the quarter. As a reminder, in Scent, there is a delay in pricing recovery about 18 months before you fully recover inflation via price increases. Finally, in Pharma Solutions, we saw double-digit growth in both pharma and industrial to deliver 10% comparable currency neutral sales growth for the quarter. Volume growth and productivity gains help drive 10% comparable currency neutral adjusted operating EBITDA. Now on Slide 14, I would like to address our cash flow and leverage positions. In the first quarter, increased working capital requirements in part due to seasonality and in part due to increased values of inventory and accounts receivable driven by inflation as well as higher capital expenditures negatively impacted our cash flow results for the quarter. In the first quarter, CapEx totaled $132 million, representing approximately 4.1% sales. As a reminder, we anticipate our 2022 CapEx to be approximately 5% of sales due to 2021 CapEx carryover and increased investments in capacity expansion and key technologies, which will help support growth while also lowering logistics costs. From a leverage perspective, we are on plan and are continuing to make progress toward achieving our deleveraging target. Q1 ended net debt to credit adjusted EBITDA ratio was 4.2x. Gross debt for the quarter totaled $11.7 billion and we finished the first quarter with cash and cash equivalence of $662 million. Despite the global financial pressures, we remain on track to keep our deleveraging target of 3x or lower by year three post-close, which will be supported by our food preparation divesture, sale of our microbial control business and other non-core business divestitures. Slide 15 provides our revised business outlook for 2022. We are adjusting our expected full-year 2022 revenue up to $12.6 billion to $13 billion from $12.3 billion to $12.7 billion. This reflects the effects of additional anticipated pricing actions not incorporated in our original guidance, primarily due to the additional inflationary pressures. This revision also reflects the expected completion of our microbial controls divestiture on July 1, one month later than originally planned, and the acquisition of Health Wright Products completed in April. In addition, our outlook takes into account a weaker euro to dollar currency outlook for the balance of the year. We continue to expect adjusted operating EBITDA in the range of $2.5 billion to $2.6 billion as we continue to target full cost recovery of additional inflationary pressures via price increases. On a comparable currency neutral basis, this translates into sales growth of approximately 9% to 12% versus 6% to 9% previously for the full-year and comparable currency neutral adjusted operating EBITDA growth of approximately 4% to 8%, which is unchanged. It should be noted that while we have increased our sales expectations for the full-year due to incremental pricing, we have reduced our volume expectations given a more challenging environment, including loss revenues as a result of the Russia-Ukraine war, continued global supply chain issues and anticipated softer consumer demand as a result of higher energy prices and general inflation negatively impacting consumer spending. One data point is that in early Q2, we have already seen volume soften and for the full-year, we are now targeting low single-digit volume growth and high single-digit pricing contributions. Also, based on current market foreign exchange rates, we expect that foreign exchange will negatively impact sales in 2022 by approximately 4 percentage points versus 2 percentage points previously and adjusted operating EBITDA grew by approximately 5 percentage points versus 4% previously. These changes now reflect current market exchange rates, particularly the euro, where we are assuming that it remains at 106 to the dollar for the balance of the year or a blended full-year rate of approximately 108 to the dollar. We are also confirming our 2022 CapEx spend will be approximately 5% of sales. In terms of the second quarter, we continue to believe that sales growth will be driven by price increases with volumes contributing much less they did in the first quarter. From an adjusted EBITDA perspective, we expect to be in the range of $640 million to $650 million pressured by unfavorable impacts of currency as well as higher inflationary costs flowing from inventories to the income statement. As I wrap up, I want to revisit the four key areas of focus we touched upon in February to update you on our progress. As a reminder, our four key priorities for 2022 are maintaining strong sales momentum, executing broad-based pricing actions, capturing synergy and productivity and accelerating our non-core business divestitures. Overall, we feel good about our progress across all four areas in Q1 and are confidence in our ability to deliver on these commitments this year. In terms of supporting strong sales momentum, we are increasing our capacity across constrained portions of our portfolio, enhancing our supply chain efficiencies most notably in our H&B, Pharma Solutions and Ingredients business, to ensure that we maintain our volume growth in line with or above the industry. Relative to executing broad-based pricing actions in an effort to react more quickly to today's evolving environment and better prepared for tomorrow's challenges, we have significantly enhanced our processes, implemented new pricing tools and established core pricing teams to oversee each of our business units. Our focus has been centered around minimizing the amount of time lost between inflation signals and customer pricing actions to ensure that we quickly adjust  to protect profitability. With these changes, we successfully implemented our first round of pricing actions and recover the total cost of inflation in Q1 2022. Given additional known inflationary pressures and a lot of uncertainty regarding the future path of inflation, this remains our highest priority. Accelerating our productivity expense synergy efforts also remains a key priority and increasingly important in a more challenging macroeconomic environment. To this end, we are able to deliver over $30 million of operational efficiencies and deal-related synergies in the first quarter above our expectations. As a result, we expect to exceed our original $100 million full-year cost reduction target, which is net of reinvestments. This higher level of productivity is helping offset lower full-year volume expectations. As we look to accelerate our long-term productivity opportunities, we have sharpened our focus on three large areas of productivity, procurement efficiencies, notably in indirect spend; end-to-end operations efficiencies, inclusive of digital enablement, yield and mix enhancements and logistics efficiencies and expanding the scale and efficiency of IFF’s global shared service platform. Importantly, we will remain prudent in protecting key topline investments, including R&D, customer sales and service and technology. We plan on providing more details of these initiatives at our Q2 earnings call. Finally, we made further headway in accelerating our non-core divestitures. We are on track to successfully complete the sale of our Microbial Control business by July 1. We are also targeting additional portfolio optimization in non-core business divestiture opportunities to delever our balance sheet and invest greater resources toward our higher return businesses. We are making very good progress in early non-core business marketing efforts and have already received strong interest from prospective buyers. Should these transactions go through? We anticipate that they will in aggregate be accretive to our go forward growth rate and margin profile. With that, I'd like to pass the call back to Frank.
Frank Clyburn: Thanks, Glenn. Turning now to Slide 16. As I look back on the last three months, I am proud of the work underway to ensure that IFF’s next chapter is as brightest yet. Our solid results, including consistent volume growth across our portfolio reflects IFF’s critical role in the consumer goods value chain, particularly amid such a challenging operating environment. While market volatility will inevitably continue to impact our industry, we will closely monitor developments, strengthen our financial discipline and fortify our portfolio to address ongoing pressures. With the strong foundation we established in the first quarter, I remain confident in our ability to achieve our full-year 2022 financial targets, improve value creation and further cement our key operating priorities. Having begun the process of our strategic refresh, I look forward to sharing additional updates on IFF’s long-term strategic vision at an Investor Day in the second half of 2022. I know many of you have questions as it relates to my perspective on IFF’s long-term financial targets. Given we are going through a robust review of our value creation opportunity via our strategy refresh, I ask that you give us time to appropriately assess our long-term financial objectives. I want to thank you very much for all of your support, and I know that the best is yet to come for IFF. With that, I would like to now open the call for questions.
Operator: Thank you.  And we'll take our first question from Gunther Zechmann with Bernstein. Please go ahead. Your line is open.
Gunther Zechmann: Hi. Good morning. Thanks for taking my question. Gunther Zechmann from Bernstein. The 3 percentage point increase in organic sales growth, Frank, to 9% to 12%, that's almost unprecedented, pretty brave move. Given your tenure as a company, in what businesses do you expect to see the biggest price increases? And in what businesses do you include demand reduction as part of your guidance? And then I've got a question 1b as well, but I'll pause there.
Frank Clyburn: Sure. Gunther, I’ll let Glenn maybe to give some specific color on the different business segments.
Glenn Richter: Yes. Hey, Gunther. Let me first sort of – by the way, good afternoon to you. I want to unpack the $300 million. So you know sort of the nature of that, and then we’ll talk about sort of where it sits. So the $300 million change is a function of several items. First of all, we have some portfolio adjustments, so the acquisition of Health Wright and then one additional month of Microbial Controls, the value that's about $130 million of incremental revenue. That's completely offset with our foreign exchange update, i.e., the stronger euro or the stronger dollar relative to euro rather, basically offsets that completely from a revenue standpoint. The residual is we have incremental pricing of around $370 million, and that's all related to raw material increases, which I'll come back to. And as we mentioned on the call, we're actually bringing down volume balance of the year. For a full-year, down about a $100 million from our original plan, so a little over a half a point full-year. We actually were better in the first quarter by a point. So we're taking down the balance of the year down by a $100 million. Where we're seeing basically the impact of the price/volume, it pretty much mirrors where the cost increases are occurring. So we've had more material cost inflation in our Nourish business and other businesses. So that's why you see the higher growth rates in that business. But we are continuing to see the impact on all the businesses. So nobody sort of is exempt from the second round of this $300 million in terms of kind of overall pressure, but a bit more in Nourish than the other business because of the raw material impact.
Gunther Zechmann: Great. And thanks, Glenn. And then 1b) can you provide an update where you see cost inflation for IFF this year? And as far as you can for next year, I know you don't guide for 2023 yet, but if you can share how much earnings you expect to recover next year from costs that you incurred last or this year, please?
Glenn Richter: Yes. It is a great question Gunther, and also something that we're working on now where we don't really have a stats in part because there's two tough parts of the equation. One is to understand the overlap of the latest round of raw materials into next year. So there's a carry forward, but then equally are basically the pricing dynamics. So as mentioned, we're having to go back in the market because incremental pricing. So there'll be a full-year effect of that as well. I would also remind the group that last year we were still in the whole i.e. the inflation exceeded pricing in 2021 by $200 million. So we're still planned to basically go after a full capture, unfortunately, with the latest addition of inflation, it's just going to take a little bit longer into 2023 to sort of get us back to whole.
Operator: And we'll take our next question from Ghansham Panjabi with Baird. Please go ahead. Your line is open.
Ghansham Panjabi: Thank you. Good morning, everybody. And Frank, welcome to the industry. Congrats on your new role. I guess, my question was more so on Slide 6, where you have the opportunity section, and the third one in terms of reinvesting in capacity and R&D and so on. Can you just expand on that? And if you could just sort of assess the technological capabilities within the company? The way you see it at this point, I know it's very early in your tenure at IFF. Thank you.
Frank Clyburn: Yes. Ghansham, hi. It's Frank, and thanks for the welcome, and also for the question. A couple things I want to highlight is – and you look at that slide, I do want to start with the fact that, I am very still encouraged by the opportunity that we have in IFF. The industry trends look very strong overall in the long-term around sustainability, health and wellness and naturals. Also, IFF with this highly diversified business mix across categories, regions, and customers, I think positions us very well. When you look at that slide and we talk about the opportunities, I think a couple of things I would highlight there is one is we are focused on really doing everything around our culture of executional excellence, that's going to be really important for us through our talent, instilling accountability and also our strong link to incentives for our teams. As far as reinvesting, clearly, we are going to look at that. That's going to be a part of our strategy refresh process, and we'll be spending a lot of time on that in the second half of the year when we share our overall plans. But early view would be clearly, we need to continue to build our capabilities around digital, data analytics are going to be really important. And then also we'll invest in our commercial efforts as we see opportunities for continued profitable growth. And then we're also doing a deep dive in R&D portfolio, and we'll look at the best innovation in R&D opportunities to invest behind as well. But much more to come as we head to the second half of the year.
Ghansham Panjabi: Okay. Look forward to the Investor Day. Thank you.
Operator: And we'll take our next question from Jonathan Feeney with Consumer Edge. Please go ahead. Your line is open.
Jonathan Feeney: Good morning, Frank. Thanks. Let me add my congratulations. You've been very vocal about taking pricing across a broad range of customers, and these are – it's not quite like gas prices, right? These are very sensitive industrial relationships where companies are intertwined. And you mentioned that in the script, how it takes time, but I wanted to ask specifically, when your customers do push back on pricing? What do they say? What are the common push backs you get? Or if somebody says no to pricing, what's the reason when that happens? And is that happening? Or are those kinds of things getting said now more often than January, as you know, some companies, maybe some of your customers are under a little bit more stress now than they were in January? Thanks.
Frank Clyburn: Yes. Jonathan, thanks for the question. I'll start and I'll let Glenn to add on as well. One, I think the teams have done a really good job starting off this year and working with customers to try to recoup the significant inflationary pressures we're seeing in the business. So we have, I think a strong value proposition. We have strong commercial teams that are working very closely with their customers to really understand the importance of us recouping our inflation, what we're seeing from an inflationary perspective. So I do feel we're off to a very good start. There are push backs. I think some of the push backs are in some of the smaller customers, some of our emerging market customers where price is much more sensitive. We are seeing pushback there. But all in all we feel as though, we are in a good place and will continue to work closely with our customers to navigate, which is, as we all know, unprecedented times. Glenn, anything you'd add?
Glenn Richter: Yes. Hey. Thanks Jonathan for the question. I'd say, first of all, obviously we're not unique is every industry is experiencing substantial increases in inflation, and all of our competitors are out there basically taking prices up as well. And as you're well aware, as it relates to our value add from our customers supply chain, we tend to be a relatively sort of low cost high value add relative to their overall value change. And I would say, simply put, with 60% of our cost structure related to raw materials, energy and logistics, it's sort of impossible for us to absorb. Those level increases. And rather as our customers well appreciate, we are in business who really provide them superior solutions, which requires significant investment in innovation, customer service capabilities, building and maintaining a very robust global supply chain. I would remind everybody, we're adding $200 million at CapEx this year alone to build out. So that's the value we add to our customer. And as a result of that, we can't sort of, if you will speculate on material costs and our customers appreciate that. Frankly, where we sit relative to our value add, they completely appreciate what we're doing for them. And that's been reflected in the success of pricing. I will note though, there are some sectors, as we mentioned, Scent as an example, that there's a lag. So it's not every single customer is out front here in terms of the pricing, but in general, the level of productive dialogue has been very, very good with our customers.
Jonathan Feeney: Thank you.
Operator: And we will take our next question from Mark Astrachan with Stifel. Please go ahead.
Mark Astrachan: Yes. Thanks, and good morning, everyone. I guess, maybe to start, Glenn, what are you assuming for volumes throughout the rest of the year? Guidance would suggest flattish, I guess, 2Q through 4Q, you alluded to April trend softening, were they positive? Curious too if you've seen competitors pricing and  is just a more IFF impact. And then Frank, I appreciate the commentary, I'm still evaluating the business. I guess the question that we get most often is the 26% EBITDA margin target most seem to think that that's just unrealistic at this point. Maybe if you could talk a bit about that, that would be helpful for folks. Thank you.
Glenn Richter: Thanks, Mark. So I'll start off with our volume outlook. 5%  for the first quarter, we're actually projecting 1% for the balance of the year. So relatively flattish. I would remind everybody, we have a very strong overlap in the last three quarters. The three quarters of last year were on average around 10% in terms of currency neutral sales of which that was around 8% volume each of the quarters is a very strong one. That's why we actually planned the second half of the year more flattish versus the first half of the year. Why we've taken it down is basically taken the balance of the year down about a $100 million in revenue, that is basically split into two components. One is the direct impact on Russia and Ukraine volumes. And the second half is really a combination of supply chain and demand issues. So supply chain would include a combination of all material access as well as China, and then generally we just feel that we're seeing early signs relative to the consumer pulling back. We really don't view this as a – not being competitive on a pricing standpoint, but frankly, just what we're seeing in the consumer and it's manifested itself literally in the last couple weeks a little bit more in the home and personal care side of the business versus sort of the food and beverage or pharma side. So we're not sure, honestly, whether that's sort of an end consumer sort of permanent pullback or adjustment in inventories, but we're just, frankly, just being cautious relative to sort of what's going on in the global economy.
Frank Clyburn: And hey, Mark. It’s Frank. Thanks for the question. And as I mentioned in some of the early remarks, we are working through our strategy refresh process and that does include our long-term plan in detail and we're looking at our current inputs into our plan. We will need some additional time to appropriately assess our long-term financial targets. And my immediate focus, our management team's focus is delivering our 2022 objectives and the financial goals that we're outlining here this morning, as which of course, there's a lot of focus on pricing as you continue to hear productivity an important levers in working with our customers to grow our absolute sales and dollar profit as we manage through the significant inflationary period. Longer term, Mark, there's no doubt in my mind, we have a lot of value creation ahead of us in the company, and I believe our business will generate sustainable profitable growth and it will yield margin expansion over time. As far as your specific question on the 26% adjusted EBITDA target, I think it's really safe to say as we look at where we are today, and you look at how the world has changed, we're not going to be able to achieve that 26% adjusted EBITDA target in 2023. With that said, as I mentioned, I do want the time to come back and share with you in the back half of the year, our plans, and also our focus on driving really strong profitable growth for the future.
Operator: We will take our next question from Heidi Vesterinen with BNP Paribas. Please go ahead.
Heidi Vesterinen: Good morning. Just to clarify on pricing again. So you're looking to fully offset the dollar headwind from inflation for the full-year, I think you said. Can you, once again, explain how you hope to achieve this because it's normal industry practice for certain parts of your portfolio, like Scent to have a lag. So is there another segment of setting that lag for this full-year? Thank you.
Frank Clyburn: Yes. Well, we actually are lagging, Heidi. As a reminder, we're $200 million behind from last year. So we're sort of catching up from last year and capturing a large – the largest percentage this year, but there's still a lag that will be going into 2023 as well.
Heidi Vesterinen: Okay. But on a full-year 2022 basis, I think you had said you're looking to fully offset, right? So you won't have a squeeze from raw materials?
Frank Clyburn: Yes. Now let me be clear. We have $200 million from last year from 2021 that we didn't capture, we began to implement. So if you look at the cumulative 2021, which is really the second half of 2021 in all this year, we're still $200 million behind.
Heidi Vesterinen: Okay. And then the idea is to pass that on as we go into next year. Okay. Thank you.
Frank Clyburn: Thank you, Heidi.
Operator: We will go next to John Roberts with Credit Suisse. Please go ahead. Your line is open.
John Roberts: Thanks. Welcome, Frank. Just one question. You've got one of the largest R&D budgets in the industry and the major drug hands are known for best in class R&D management here. But we don't get an innovation or vitality index. We don't get any stage-gate processing reported hard to know how productive R&D is or what the right level of spend is here. If you had a chance to kind of go through the processes within R&D and the Center of Excellence – and so forth, do you think there are changes that need to be made there?
Frank Clyburn: Yes. Thanks John, for the question. I'll just sum it up in a couple of quick points and based on my experience, one, I have been very encouraged by some of the recent visits I've taken to our R&D centers. I just got back from Palo Alto, California, and really good innovation taking place. Some of the work we're doing in with regards to our enzymes, with regards to some of our Scent and sustainable delivery systems, flavor technology. So I'm encouraged early on of what I'm seeing. I think what I would highlight is from an R&D perspective, there's three things that come to mind. One is making sure you have the best talent, and that's a major focus for us in allowing our scientists to innovate. Number two is we have a process and model where you have very close connection with your commercial teams. So your arm in arm, your scientists and your commercial teams are really working on innovations that are going to be meaningful from a customer and consumer perspective. And that's a major focus that we're putting in place. And then number three is doing it in an efficient way and putting our capital against the biggest R&D opportunities. So early on, encouraging, this is going to be a focus for us, and this also will be a part of our second half Investor Day where we'll come back and share more about some of the exciting projects we're working on in our pipeline.
Operator: And we'll take our next question from Matthew DeYoe with Bank of America. Please go ahead. Your line is open.
Matthew DeYoe: Good morning, everyone. Frank, one of the criticisms we often here about IFF is the senior management churn has been pretty elevated following the N&B acquisition and that perhaps the broader leadership team is relatively inexperienced. How do you plan to address this as the new CEO when you think about the team that's around you?
Frank Clyburn: So Matt, that's an important question. And what I would say is that we have to do everything that we can as a management team to really build, as I've been saying, the right culture, the right focus for the organization. As I highlighted in my prepared remarks, we have a tremendous opportunity in front of us with IFF, but we do need to deliver and we do need to focus on executional excellence. Yes, there has been some change in the management ranks. That is something that obviously we all take seriously, but our focus right now is with the team that we have in place is really to be laser focused on delivering and working on behalf of our customers to create value in the marketplace. So that's really the focus and I am excited about the passion and the energy I see from so many IFFer’s around the world, I've had a chance to engage with a lot of them. And I think we're really in a good place as long as we can focus on the – through four priorities that Glenn mentioned earlier. I do feel good about our opportunity as we work through 2022 and then as we start to build the company for the future.
Operator: And we'll take our next question from Mike Sison with Wells Fargo. Please go ahead.
Michael Sison: Hey, good morning. Welcome Frank. I guess, your background has a lot of integration. And so I'm kind of thinking when you think about the DuPont acquisition, N&B and putting the company together, it does seem like the initial outlook for 2023 or the sort of initial goals are going to – a little bit off. So when you think about how we should measure, if this will be inevitably a successful deal together, what do you think we need to look for? And I know a lot of this will probably come in your Analyst Day, second half. I'm certain, you're looking at Cleveland as a possible site, and I’m joking. But what should we think about as the metric or couple of metrics that. And at the end of the day would suggest this has been a really good deal over time.
Frank Clyburn: Yes. Mike, and I think you recognized as where we started, we also are in some unprecedented times from inflationary perspective. And also what's happening with regards to China and COVID lockdowns, and what's happening with the war and impossible recessionary pressure. So clearly, the world is changing significantly. Mike, the way I would say, is that we will spend time, like you said, in the second part of this year, but really look at our focus. And I keep using this phrase about driving sustainable, profitable growth. We want to have a company that's growing top-tier within our peer set. And from a topline perspective, good strong leverage throughout the company, a relentless focus on constant improving of productivity and making sure we're doing everything that we can to deliver for our customers and our shareholders. So I think that will be some of the metrics and we'll come back obviously, as we get to the second half and give you specific metrics, but that's how I would have you think about it. Glenn, I don't know if you want to add…
Glenn Richter: Hey, Mike. I would just add. By the way, I lived in Cleveland, I'm not sure I'm allowed to come back though. But really at the end of the day, we are trying to deliver a superior outcome for our shareholders. And the way to do that as Frank had mentioned is to make sure we outpace the topline versus the industry. So having superior topline growth and secondarily superior return on invested capital, the way we view doing that is actually driving significant productivity, which we believe there is, and allowing that to basically reinvest back and help accelerate the topline and to continue to actually drive some of that to the bottom line while we're optimizing our portfolio. So to Frank's point, that will be sort of the major agenda when we get together later in the year, maybe in Cleveland.
Frank Clyburn: Yes. And Mike, just one last one, and I did mention that ROIC is now a part of our metrics as a team. So that's something that we've incorporated.
Operator: And we'll take our next question from Lisa De Neve with Morgan Stanley. Please go ahead.
Lisa De Neve: Hi. Good afternoon and thank you for taking my questions. I have two. First one is, can you talk a little bit on how the growth has been evolving in the first quarter through the different regions and how you expect volume growth to develop over the coming quarters or through the year? So the plus and minuses would be very helpful. And secondly, can you share a little bit what you're seeing in your innovation pipeline, in what segments are you seeing stronger levels of innovation. And also, do you see sort of any levels of reformulation activity? Thank you.
Glenn Richter: Good morning, Lisa. So relative to the first quarter and balance of the year relative to region, our strongest areas have been the developed markets. So combination of Europe and North America, laggards has really been actually Greater Asia has slower growth in the first quarter. We expect, as we look at the balance of the year, we need to have a little bit challenges in Greater Asia, particularly China, as we mentioned, likely also to see a slowdown – meaningful slowdown in Europe, given the – what's happening from the economy standpoint, but are still sort of fairly optimistic on combination of North America and LATAM as well.
Frank Clyburn: Yes. And just real quickly, we're doing a lot of R&D work in Health and Biosciences area with regards to our enzymes and focusing on probiotics and also, laundry dish programs with global key accounts. We have work in some of our plant-based protein and dairy alternatives, couple of other quick ones to highlight in the scent area, some of the renewable and biodegradable fragrance ingredients were also really focusing, in nourish around a lot of our flavor technologies. And I highlighted one of the big wins that we had with vanilla recently with one of our customers. So we'll spend a lot more time here on the pipeline and portfolio, as I mentioned, coming up in the second half of the year.
Operator: And we'll take our next question from David Begleiter with Deutsche Bank. Please go ahead. Your line is open.
David Begleiter: Thank you. Good morning, and Frank, congratulations as well on the new role. Frank, building off your early view of the company, do you think IFF does a good job capturing the full value of this products with the customers? And secondarily, what do you think the IFF does better than competitors and where do you think it is lacking versus competitors? Thank you.
Frank Clyburn: Yes. Very good questions. I think when you say, what do we do better, then I'll start there. I do think our global scale, the diversity of our and breadth of our portfolio and how we engage with our customers. I think we are leading in many categories and in many areas, and that's something that we will continue to leverage. And it also allows for us to work quickly with customers to co-create solutions with them. So that to me is a big strength of ours. What does some of the competitors do? There are competitors that are focused in certain areas that I do think have done a nice job from a pricing perspective or have in certain categories a little bit better margin construct than we do. And that's really why we're staring into our portfolio to make sure that we put our resources against the best opportunities and where we see those opportunities we're going to invest and then where we see opportunities to improve, we'll focus there. And then in some areas we will pull back investment or possibly even divest if we need to. So those are going to be some things that we're going to be looking at to make sure that we continue to build the strength around our portfolio, but those were some initial thoughts on how I think we are lining up with our customers and then how we compare to some of our competitors.
Operator: And we'll take our next question from Lauren Lieberman with Barclays. Please go ahead. Your line is open.
Lauren Lieberman: Great. Thanks. Good morning. I was curious that you touched earlier on pricing and how quickly you move during the first quarter? And Glenn, in your comments, you more or less referred to the press release that IFF put out discussing its kind of new approach to pricing. I mean, from where I said it feels like that's the first moment of the company now with this much greater scale, really taking on the role of industry leader. And I was curious what, if anything, you've seen in the competitive landscape, how others are now approaching pricing, if the industry as a whole is moving faster. I know it's been a short period of time, but it's an interesting question in the sense of IFF role again as industry leader? Thanks to this newfound scale. Thanks.
Glenn Richter: Yes. Thanks for the question. We actually, as you recall, in the fourth quarter, signaled pretty quickly given we saw this large tsunami of inflation and went out very quickly, in the fourth quarter of the first round that press release was really in advance of the second round. And all our competitors are seeing exactly the same, inflationary pressures as well. So I think, that was intended really to help our teams relative to the customer dialogue, sort of understand the dynamics and the impact on the business. Hence the purpose of the press releases, I did mention all our competitors as you're well aware are basically in the market doing the same thing and are passing along prices and time as well. We just moved fast even we saw in the fourth quarter. And as I mentioned on the call, we really also invested in, I'll say in infrastructure around the organization to make sure we're more closely monitoring what's happening in the market and just moving much, much, much quicker because I think we are concerned that this – even the second round may be the second of others. So we just want to be prepared to do that. And that answer was the purpose of that, that press release.
Operator: And we'll take our next question from Jeff Zekauskas with JPMorgan. Please go ahead. Your line is open.
Jeffrey Zekauskas: Thanks very much. Originally, when you bought the DuPont business, the idea was to take out $300 million in costs and to spend about $335 million to do it. And to date, I think IFF has spent $32 million, so it seems that the original cost reduction program is moving more slowly. Is that fair? That is why aren't the charge is larger? And secondly, on Slide 8, where you lay out your return on invested capital distribution. It looks like about a third of the company has unsatisfactory returns. What conclusion do you draw from that? Does that mean that you really need to overhaul the structure of the company dramatically or do you draw a different conclusion from that?
Glenn Richter: Yes. Let me – maybe I'll take the second one and come back to the first one. Your conclusion is correct in terms of the third – hardly one third of our business from a capital utilization standpoint needs to improve. And there are two major levers. So not surprisingly as it relates to some of our non-core divestiture work by the fall within that basket, if you will. So continue to optimize the portfolio as one lever. The second is really thinking about ultimately a combination of capital investment in those businesses and in addition, how we think about optimizing the profitability. So as part of the Frank's comments about the refresh strategy, we are thinking about the portfolio in that way. And by the way, that's also in the spirit of taking some of those dollars and moving them up to the far left of that chart and accelerating the growth dynamics of the higher return segments as well. Relative to our cost savings, as a reminder, we get roughly $300 million targeted for synergies, about half of those were procurement. So it's not surprising that you would have little to no integration-related expenses for those. Those pieces honestly are, as we've mentioned in the past, we are the farthest behind simply because of this environment. It's harder to materialize. The other half of the 150, we're sort of midway through in terms of capture. To your broader point about how we think about restructuring opportunities, we've moved beyond a discussion of just synergies, deal-related synergies was too narrow and we really are focusing more broadly on productivity. As I mentioned, there are three large buckets operations, procurement and then shared services. The first two of those are likely to have relatively low one-time costs because they're really optimizing operations, digital throughput, some fixed cost reduction, indirect material purchases. The latter being shared service probably will have some one-time restructuring charges as we build out our current infrastructure and continue to add capabilities into that network.
Operator: And we'll take our next question from Josh Spector with UBS. Please go ahead.
Joshua Spector: Yes. Hi. Thanks for taking my question. I guess just a couple follow-ups on the price rise dynamics. So just curious now what's your length of visibility on the raw material front? So how far ahead are you seeing today? And as you look at your pricing guide for the year, I guess, are you pricing your second round increase is that to capture the visibility that you see now? Or are you pricing ahead of that and does your guide imply a low double-digit price exit rate for the year at this point? Thanks.
Glenn Richter: Yes. Generally, we're looking out to the third or fourth quarter for the raw materials. Energy is more problematic as well as logistics that tends to sort of – it's really kind of here and now if you will, in terms of kind of what's happening in the marketplace, we've done best estimates based on sort of where the markets are trading relative to energy as well as logistics costs. But generally the raw materials are sort of about six months out. But some of them have been – a lot of them have been locked in, some of them not. So we are continuing – by the way, we're continuing to monitor every single week. We sort of have an update on how we're feeling about the market in general over the last sort of month, six weeks, there's been some ebbing and flowing so slightly higher in energy, some relief in raw materials, but it hasn't materially been different than that 350-ish number that I provided you to earlier. So relative to sort of the carryover for next year, we still have to sort of work that through. As I mentioned, it's a combination of, what the tail of this year's annualized raw materials and then very importantly, we got to figure out as well as the tail of the pricing actions in the next year as well?
Operator: And we'll take our next question from Christopher Parkinson with Mizuho. Please go ahead. Your line is open.
Christopher Parkinson: Great. Thank you. Frank, now that you've had just a couple weeks to evaluate the portfolio, you just name kind of the two to three sub businesses that you're the most excited about. I mean, in your remarks, you've mentioned, probiotics and proteins, just coming from your background, what's getting you the most excited on a go-forward basis? Thank you.
Frank Clyburn: Sure. I'll be quick because I know, we've got a couple more that we’re waiting on as well, but just to give you an example, enzymes, I think are areas that I'm excited about. And we're going to deploy resources to drive growth and really mix improvement there over time. There's also, I think some really solid areas such as fabric care, we think there's opportunities to improve our cash flow there. And then, we will continue to look at some of the underperforming areas as well. And I think this is something and Glenn highlighted on our four priorities, which is why we have made the decision to exit for instance, our Microbial Control business and we've announced that divestitures. So those are some examples and like I said, we'll spend much more time opening up and sharing a lot more as we get to the back half of the year.
Operator: And we will go next to Andrew Keches with Barclays. Please go ahead. Your line is open.
Andrew Keches: Yes. Hi, good morning. Glenn, perhaps a question for you. If you take a step back and look at the balance sheet where a little more than a year into the N&B transaction and leverages essentially where it was at closing. And I think I heard you said you're dropping the balance sheet metric from executive compensation. So I guess I just want to understand your confidence and the ability to hit that 3.0x mark by the beginning of 2024, how critical are these divestitures that you're talking about? And is it right to think that maybe the scope for divestitures can expand particularly as we lap that two year IRS anniversary for N&B?
Glenn Richter: Yes. So just a clarification, the reason we dropped the balance sheet metric is because we launched the new three-year plan. So to some extent, this is the window beyond sort of our deleverage. So I am very, very confident that we will hit three less. We will be closing on the Microbial Controls business at the end of this quarter, that's going to be net proceeds of $1.1 billion. As I mentioned in the past, we have three to four additional deals that will cumulatively add $1.5 billion to $1.7 billion of gross. They're proceeding nicely, by the way, despite the sort of volatility in the market, they are attractive property strategically. That alone will basically get us to the goal independent of cash flow. To the last point of your question, we're going to continue obviously to take a look at the portfolio, that's part of the strategy refresh, which will probably afford additional opportunities to continue to approving the portfolio, but nothing to announce at this point and nor do we need that to accomplish that goal. So thanks for the question.
Operator: And there are no further questions at this time. I'll turn the call back over to Frank Clyburn for any closing remarks.
Frank Clyburn: So thank you to all for joining our call. I really appreciate your interests and the time we spent this morning discussing our first quarter results. And hopefully you could hear from myself, Glenn and on behalf of all of IFF, we're really encouraged and excited about the future. And we look forward to sharing more about our plans as we head to the second half of this year and also want to reiterate just how focused we are on a company, making sure we're executing and working with our customers to deliver important solutions for consumers around the world. So thank you and we look forward to speaking to you soon.
Operator: Thank you. And this does conclude today's program. Thank you for your participation. You may disconnect at any time.